Operator: Good afternoon. Thank you for attending GCT Semiconductor Holding, Inc. Third Quarter 2025 Financial Results Call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. Joining the call today are John Brian Schlaefer, GCT Chief Executive Officer, and Edmond Cheng, CFO, to discuss the Third Quarter 2025 Results. During this call, statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our safe harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Form 10-Q that will be filed today, which provide further detail about the risks related to our business. Additionally, except for as required by law, we undertake no obligation to update any forward-looking statements. And now I'll turn the call over to John Brian Schlaefer. You may begin.
John Brian Schlaefer: Thank you, and thanks, everyone, for joining us today for our third quarter 2025 earnings call. I'll focus my remarks on the operational milestones we achieved this quarter on our 2025 GS, Year of 5Gs program, while our CFO, Edmond Cheng, will discuss our third quarter financial disclosure in more detail. The third quarter was another important step forward for GCT Semiconductor Holding, Inc. as we continue to execute on our Year of 5Gs. Most notably, we achieved a key milestone this quarter by recognizing our first 5G product revenue. While still small in dollar terms, it marks the first time our next-generation technology has begun contributing to our top line, an early but important indicator. We also completed successfully sampling on our 5G chipset and modules to all our lead customers, which include Airspan Networks and Orbit, as well as other well-known companies who are actively progressing through their evaluation processes and providing increasingly positive feedback. This progress reflects the continued validation of our 5G platform across diverse customer applications as well as growing confidence in the commercial readiness of our solution. One of the most meaningful developments this quarter came from Gogo, the first 5G network operator who publicly signaled full service activation before year-end 2025. This marks the first planned commercial deployment using GCT's 5G chipset and represents the first step in what we expect will be a broader multi-operator transition from chipset sampling to full customer activation. Gogo has been progressing steadily through its field testing phase, which is expected to complete within a few weeks. Their system integration has validated our chipset performance in the demanding airborne environment, demonstrating the exceptional range and reliability of our 5G architecture. As part of this testing, our 5G chipset powered the first 5G air-to-ground call on AirSpan's In Motion 5G platform, an industry first achieved in collaboration with our customer Airspan and Gogo. Gogo's deployment timeline remains aligned with our production schedule, and our program milestones are tracking to support their planned launch later this year. In parallel, we are now confidently moving forward to prepare our 5G product and production flow for the Gogo launch and launches that are expected to follow in 2026. Including the initial sample shipments to date, our 5G chipset orders have already exceeded 2,500 units. The early demand represents strong pull-through from lead customers and growing engagement from others prepared to follow Gogo's lead. We are working closely with our manufacturing partners to expedite shipments and ensure we can fulfill these orders as quickly as possible. Based on current production schedules, we remain on track to support these deliveries in late Q4 2025. Importantly, the volumes already shipped are sufficient to support the first wave of aircraft installations, positioning us to scale as additional operators and network partners begin their own deployment cycles in 2026. To further support our efforts, we also strengthened our financial position in the quarter by securing $10.7 million in debt financing from our largest shareholder. The net proceeds are providing additional capital to accelerate final production readiness, supporting other working capital requirements, and ensuring we are fully prepared for the coming production ramp, including the volume shipments that are expected to begin later this year. Overall, these milestones reflect the company that is executing steadily and methodically. We are entering the later stages of commercial readiness with strong customer engagement, early production revenue, and a strengthened balance sheet to support this next phase of growth. As we look ahead to the fourth quarter and into 2026, our focus remains on scaling efficiently by ensuring our production operations, supply chain partners, and logistics are aligned to support the transition to volume production and sustained 5G sales. And with that, I'll turn the call over to Edmond Cheng to discuss our Q3 results.
Edmond Cheng: Thank you, John. The third quarter represents a meaningful transition point for GCT Semiconductor Holding, Inc. as we record our first 5Gs product revenue, an important proof point in our commercialization path. While total revenue remains modest, this initial contribution from our 5G chipset underscores the tangible progress we are making towards broader adoption and accelerated production. With that, I will now turn to our third quarter 2025 financials. Further details can be found in the 10-Q that will be on file with the SEC. Net revenues decreased from $2.6 million for the three months ended September 30, 2024, to $400,000 for the three months ended September 30, 2025. The decline was largely driven by a decrease of $1.6 million in product sales. The prior year period included $1.5 million from the sales of our 5G platform to support the customer in shifting their product development priorities to our 5G products. Service revenues also decreased by $600,000, primarily due to the completion of existing 5Gs product development projects while we are in a transitional phase in securing new projects. Cost of net revenue increased by $0.5 million or 50% from $1 million for the three months ended September 30, 2024, to $1.5 million for the three months ended September 30, 2025. The increase in the cost of net revenue was primarily due to additional production overhead costs and a $500,000 incremental write-down related to slow-moving 4Gs LTE inventory, partially offset by lower service costs. Our gross margin for the three months ended September 30, 2025, was negative and reflects the lower product revenue that is currently not sufficient to fully absorb production overhead costs. This makes our gross margin less indicative of the underlying profitability of our products and services. We expect margins to improve substantially as 5Gs product sales contribute more significantly to our overall revenue beginning in Q1 2026. Research and development expenses decreased by $1 million or 23% from $4.2 million for the three months ended September 30, 2024, to $3.3 million for the three months ended September 30, 2025. The reduction was largely due to a $1.2 million decrease in professional services related to the design of 5G chip products as this development project was completed in 2025, partially offset by a $200,000 increase in personnel-related costs. Sales and marketing expenses were relatively flat year over year, increasing $100,000 from $900,000 for the period ended September 30, 2024, to $1 million for the period ended September 30, 2025. General and administrative expenses increased by $1.5 million or 64% from $2.4 million for the three months ended September 30, 2024, to $3.9 million for the three months ended September 30, 2025. The increase primarily reflects an increase in stock-based compensation expenses and higher personnel-related costs. We ended the quarter with cash and cash equivalents of $8.3 million, as well as net accounts receivable of $3.7 million and net inventory of $1.9 million. As John mentioned, in September, we secured $10.7 million in senior secured debt financing from our largest shareholder. These proceeds are being used to accelerate production readiness, manage other working capital, and support volume shipments. These financing commitments and our existing $200 million shelf registration provide us with the flexibility to fund the next stage of the commercialization of our 5G chipset. With this, I will turn it back over to John Brian Schlaefer.
John Brian Schlaefer: Thanks, Edmond. In summary, the third quarter reflected continued progress on all fronts, from technical validation and customer engagement to early 5G revenue and strengthened liquidity. Our focus now is on completing production readiness, supporting customer launches, and ensuring we execute efficiently as we enter the next stage of 5G commercialization. I want to thank our employees, partners, and shareholders for their ongoing support and commitment. We are pleased with the steady progress we are making and look forward to building on this momentum in the quarters ahead. I will now turn the call back over to the operator, who will assist us in taking your questions.
Operator: Certainly. Ladies and gentlemen, if you do have a question, our first question comes from the line of Craig Ellis from B. Riley Securities. Your question, please.
Craig Ellis: Yes. Thanks for taking the questions and congratulations on moving 5Gs ahead, guys. John, I wanted to start just getting a better sense for the volumes that might ship later this year. I think the press release noted orders for 4,500 units. Is that what you would expect to ship in rev rec in the fourth quarter? Or are you expecting a materially larger amount?
John Brian Schlaefer: Yes. So I think the press release indicates that the total orders received so far is around 2,500, and we should be able to, I mean, that stuff that we have already shipped as well as what is on backlog that we will ship this quarter. So it is in that range, and that is what we are expecting right now.
Craig Ellis: Got it. Okay. So we will be able to ship a small volume to Auerbek and Airspan, and it sounds like Gogo this quarter. Can you talk a little bit more about how that might evolve when we get into the first quarter? In the past, we have talked about a European equipment customer. Would you expect to be broadening shipments to those that are starting to take product in 4Q and 1Q? And can you help us understand how the customer base might broaden further as you get into the first quarter?
John Brian Schlaefer: Yeah, yeah. So we have started acting more wafers already that will significantly increase our supply into Q1. And the backlog that we have right now is what I have indicated already. And we do expect that within Q1 or certainly within Q1 and perhaps by the end of this quarter, we will have more backlog that will be supporting actually Q1. It will be continuing on with AirSpan's demand as well as other customers that we have talked about that we have been sampling.
Craig Ellis: Got it. And then, and this may be more of a question for Edmond. Edmond, I think we had previously been looking for adjusted EBITDA breakeven in the 2Q '26 timeframe. Can you talk about the confidence in the business' ability to get there? And what are some of the things that we can look to that will help indicate that that or another date would be the time that we get to that key milestone?
Edmond Cheng: Great. Thank you so much for the question. Although we have not been publishing our adjusted EBITDA, but internally, we have been checking our adjusted EBITDA trend. And for the last three quarters, the trend was quite stable from that perspective. And with that trend and with the anticipated scale production and sales ramp into the second half of next year, we are still anticipating that we might be able to have a breakeven adjusted EBITDA in Q3 next year and starting to have more positive cash flow in terms of operation in Q4 next year.
Craig Ellis: Okay, that's helpful. Then one other detail as we get to the point where we are starting to ship to customers who have placed orders, how are you finding that pricing is holding up? I think we have historically thought there would be that very significant increase to around $40 ASPs. Is that what you are seeing customers commit to, or are there gives and takes? And if so, to what extent?
John Brian Schlaefer: We are seeing prices above that, we are seeing prices below that, but I think that still serves as a good average.
Craig Ellis: Okay. That's helpful, John. And then there was mention made of doing things to ready the supply chain for hard volume production. Can you just identify the top two or three things that you have got your eye on as we look to bring our 5Gs chips to customers in more significant volume as we exit this year and move into '26?
John Brian Schlaefer: Yeah, I think those things would be the longest lead time, of course, is FAB. So having wafers start in FAB as early as possible to support that sort of a ramp. So that's begun. We will continue to do that as we move forward to support increased demand. The other thing is to make sure that we have got our testing place so that we can yield properly and efficiently. And then the other thing would be to actually prep our assembly house for the demands that are coming, starting to see a little bit of shortage in the marketplace and longer lead times for PCBs. And so as long as we are forecasting properly, that should not be a big problem, and we should be able to actually manage that.
Craig Ellis: Got it. Okay, well, thanks for taking all the questions and good luck, guys.
Edmond Cheng: Thank you, Steve. Thanks, Craig. Thank you.
Operator: Once again, ladies and gentlemen, if you do have a question at this time, please press. And this does conclude the question and answer session as well as today's program. Thank you, ladies and gentlemen, for your participation. You may now disconnect. Good day.